Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TopBuild Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded Tuesday, November 7, 2017. I would now like to turn the conference over to Tabitha Zane. Please go ahead, ma'am.
Tabitha Zane: Thank you and good morning. On the call today are Jerry Volas, Chief Executive Officer; Robert Buck, President and Chief Operating Officer; and John Peterson, Chief Financial Officer. Please note we have posted senior management's formal remarks on the Investor Relations section of our Web site at topbuild.com. As shown on Slide 2 of today's presentation, many of our remarks will include forward-looking statements concerning the company's operations and financial conditions. These forward-looking statements include known and unknown risks, including those set forth in this morning's press release as well as in the company's filings with the SEC. The company assumes no obligation to update or supplement forward-looking statements that become untrue because of subsequent events. In addition, we will also discuss non-GAAP financial measures, which can be reconciled to the most comparable GAAP measures in a table included in today's press release. I will now turn the call over to Jerry Volas.
Jerry Volas: Thanks, Tabitha, and welcome everybody. Starting on Slide 3. We are pleased to report another quarter of strong results. Despite severe weather issues in certain regions of the country, revenue grew 7.9%, adjusted operating margin expanded 160 basis points to 10.3% and adjusted EPS increased 31.7% to $0.83 per share. Adjusted EBITDA increased 28.9% to 57.6 million and our adjusted EBITDA margin improved 190 basis points to 11.8%. Our incremental EBITDA margin, a key metric for us, was 36% for the quarter. John will discuss what drove these solid results. Our third quarter results were impacted, to some degree, by Hurricanes Harvey and Irma. We estimate lost revenue of around $6 million to $8 million as we closed facilities in the impacted areas, but still paid our employees during the period. We believe at some point next year, we could potentially see an acceleration of activity in Florida and Texas as the rebuilding effort takes shape. From a macro viewpoint, all signs point to continued improvement in housing starts. 90-day lagged starts are up 6.3% for the first nine months, a steady and respectable rate of growth. However, even at this level, starts are well below the 50-year historical average. In addition, general economic conditions are positive with capital markets strong and interest rates low. All of this is driving demand for housing that exceeds current supply. All-in-all, a good environment for TopBuild. Turning to Slide 4. While we didn’t complete any acquisitions this quarter, our pipeline is robust and our team continues to add prospects. We are looking at residential, commercial and distribution companies and expect to bring a number of these over the finish line. To reiterate what we have said on prior calls, we believe that funding organic growth and acquisitions is the best use of our capital. On the next slide, TopBuild has a unique operating model that differentiates us from our peers. Our size and scale give us key advantages in the procurement of both materials and labor. We have two distinct businesses which together enhance our reach into a fragmented residential housing market. Our commercial business, another unique element of our overall value proposition, is growing rapidly as we offer bundled solutions to general contractors. We see a long runway of growth for our company. Finally, I want to thank those of you who joined us for our Investor Day last month, either in person or via the webcast. We hope you saw the strength and depth of our team and better understand why we’re so excited about our future. John, you’re up.
John Peterson: Good morning, everyone. As Jerry noted, we had a solid third quarter. Looking at Slide 6. Consolidated revenue increased 7.9% to $489 million, primarily driven by sales volume and improved selling prices at both TruTeam and Service Partners, as well as $24.4 million of revenue from companies acquired since August 2016. On a same branch basis, revenue increased 2.7% compared to third quarter 2016. These results were negatively impacted by adverse weather in the range of $6 million to $8 million. Gross margin expanded 80 basis points to 24.7% compared to the same period a year ago. Adjusted operating profit grew 27% to $50.3 million with a corresponding margin improvement of 160 basis points. Both gross margin and operating margin improvements were driven by volume leverage, higher selling prices, and improved labor productivity; partially offset by higher health insurance costs, higher material costs and some inefficiencies tied to weather. Third quarter 2017 adjustments totaled $700,000, primarily related to the consolidation of certain back office operations and acquisition-related expenses. Third quarter adjusted EBITDA was $57.6 million compared to $44.6 million in 2016 and our EBITDA margin was 11.8%, a 190-basis point improvement from third quarter 2016 and a 350-basis point improvement from third quarter 2015. This margin improvement is a direct result of the transformative changes we have made at TopBuild to improve our operations, increase labor and sales productivity, optimize our footprint and streamline many of our processes and procedures. Profitable growth continues to be a key focus for everyone in our business. We were also pleased to report a strong dropdown to adjusted EBITDA margin of 36%. On a same branch basis, adjusted EBITDA was $53.7 million, a 20.3% increase and our dropdown to adjusted EBITDA was 74.2%, driven by improved selling prices, strong cost control and continuing leveraging of our platform. For the first nine months of 2017, adjusted EBITDA was 36.3% to $139.7 million and our dropdown to adjusted EBITDA was 35%. Incremental margin related to our seven acquisitions was 16.3%, a 380 basis-point improvement from last quarter. This clearly demonstrates our success in acquiring high-value businesses, successfully integrating them into TopBuild and delivering strong returns to our shareholders. Acquisitions remain our number one capital allocation priority after internal investments. TopBuild’s third quarter SG&A increased $2.2 million or 3.2% to $71.3 million, but declined 60 basis points as a percent of revenue to 14.6%. The majority of the increase was driven by the impact of acquisitions as well as higher stock-based compensation. Moving to Slide 7. Adjusted income from continuing operations for the third quarter was $29.7 million or $0.83 per diluted share compared to $23.8 million or $0.63 per diluted share. For the first nine months of 2017, adjusted income from continuing operations was $71.6 million or $1.94 per diluted share compared to $51.9 million or $1.37 per diluted share. On Slide 8, you can see CapEx for the first nine months of the year was 13.1 million and working capital as a percent to sales for the trailing 12 months was 10%. Working capital as a percent of sales was 110 basis points higher than prior year due to higher commercial sales mix, driven primarily by the impact of our two large commercial acquisitions earlier this year, Midwest Fireproofing and Canyon Insulation. Commercial projects typically have a longer collection cycle than residential jobs. To a lesser degree, adverse weather conditions in September also had some impact on our quarter-end collections due to closed TopBuild branches and customer pay offices in the affected regions. We expect working capital to be in our targeted range of 7% to 8% of sales for year-end 2017. Operating cash flow was $54.6 million for the first nine months and cash on the balance sheet was $18.5 million on September 30. Net leverage for the quarter was 1.28% with total liquidity available of $316.4 million, inclusive of the available balance on the revolver of $197.9 million, the delayed draw of committed funds on our term loan of $100 million and cash of $18 million. Our effective tax rates for the third quarter and nine months were 33.4% and 33.8%, respectively, lower than the 38% tax rate we guide to. The lower rate was primarily due to excess tax deductions driven by share-based compensation. I want to turn to annual guidance, on Slide 9, which was published in today’s press release. As we announced and commenced on our Investor Day, we are now providing guidance for revenue and adjusted EBITDA. For the full year 2017, we expect revenue to be between $1,890 million to $1,905 million, a tightening of the range previously provided of $1,880 million to $1,905 million. For adjusted EBITDA, we’re guiding to $190 million to $195 million versus previous guidance of $183 million to $193 million. Going forward, we anticipate updating annual guidance quarterly. On our fourth quarter call next February, we will provide annual revenue and adjusted EBITDA guidance for 2018. At Investor Day, we also provided three-year targets, which include some changes to what we’ve modeled in the past. For residential growth, we have combined repair and remodel with residential new construction and we are now projecting $60 million of residential revenue for every increase of 50,000 housing starts. Commercial is unchanged with annual revenue growth expected to be at least 12% per year. Both residential and commercial growth assumptions exclude any impact of future acquisitions. CapEx, which we’ve traditionally guided to 1% of revenue, is now projected at 2% to 2.5% of sales. This increase is driven by a change in how we will be acquiring our vehicles. Starting this quarter, we are moving to low cost debt financing for fleet acquisitions and away from full service lessors. Over time, our historical operating leases will wind down and be replaced with depreciable assets. For the first two years of the transition, we expect negligible impact to operating profit. We are now breaking out incremental EBITDA on sales growth between our organic business and acquisitions. For acquisitions, we expect incremental EBITDA margins for the first year to be between 11% and 16%. Incremental EBITDA margins on organic growth are now projected at 22% to 27%. For those of you who model our company, due to the change in how we will be acquiring and financing our vehicles, we expect to see an additional add-back of depreciation as the historical operating leases expire and are replaced with depreciable assets. This should add an incremental $1 million to $1.5 million of depreciation in 2018, $4 million to $5 million in 2019 and $7 million to $8 million in 2020. So keeping 2017 annual guidance and these long-term metrics in mind, Slide 10 shows what TopBuild, without additional acquisitions, could potentially look like, assuming we reach 1.5 million starts in 2021. We would be generating almost $2.5 billion of revenue and reporting EBITDA between $312 million and $340 million with corresponding margins of 12.6% to 13.7%. This doesn’t include the additional add-back of depreciation just discussed. Of course, we will make additional acquisitions, the results of which will further enhance these estimates. We think that’s a great story for shareholders. Let me now pass the call over to Robert who will discuss operations and segment results. Robert?
Robert Buck: Thanks, John, and good morning. TruTeam and Service Partners performed very well this quarter, despite the impact of Hurricanes Harvey and Irma. While many of our operations in Texas and Florida were shut down for a full week, we worked hard to ensure our customers were serviced. Taking care of our employees and their families during this difficult time was also a high priority and we paid our teams, impacted by the hurricanes, in full during this period. Despite these adverse conditions, we were able to expand margins in the quarter by 160 basis points. This is nothing short of a fabulous job by all of our employees at TopBuild, TruTeam and Service Partners and we thank everyone for pulling together as a team. This is very representative of our culture and the operational excellence throughout our organization. Looking at TruTeam’ s results, on Slide 11, third quarter sales increased 11.1% benefitting from higher same branch volume, acquisitions and a 1.5% increase in selling prices Adjusted operating margin was 12.3%, a 150-basis point improvement from third quarter 2016. Although volume leverage was a key contributor in the quarter, results were also favorably impacted from higher selling prices and continued improvement in sales and labor productivity. On a same branch basis, TruTeam’s revenue increased 3.2%, outpacing third quarter lagged starts of 1.5%. Moving to the next slide. Labor continues to be a gating factor in our industry amongst all trades. We believe it has extended the lag in certain areas and continues to keep a damper on housing starts growth. At TruTeam, we are seeing wage inflation in many markets which we continue to successfully offset with selling price increases. In addition, in certain regions we are making conscious decisions when bidding jobs to ensure we are driving profitability through a balance between price and volume. On the commercial side, in the third quarter, TruTeam grew its revenue by almost 29%. While much of this increase was generated from acquisitions, it also reflects our continued focus on growing this segment of our business. Today, commercial represents about 20% of the total revenue, and under the scenario John outlined a few minutes ago, it should account for almost 26% by year-end 2021. Our backlog for commercial work is very robust heading into 2018 and we are already bidding jobs that are expected to start in late 2019 and early 2020. Our push to expand our spray foam business continues in earnest. Installation revenue from this product has increased 18% year-to-date. We expect spray foam’s growth to remain strong, particularly as new building codes are implemented and builders as well as consumers continue to recognize the many benefits of spray foam. Turning to Slide 13. At Service Partners, sales were up 4% in the quarter driven by sales volume growth and higher selling prices. As we discussed at the outset of the year, we expected selling prices to improve, and they have, increasing 1% compared to a year ago. Both strong cost control and an improved alignment between selling prices and material costs were the major contributors to the 120-basis point improvement in third quarter operating margins. Distribution revenue from spray foam has increased 23% at Service Partners year-to-date. As we discussed at Investor Day, we are concentrating on a few key opportunities to grow our distribution business. Moving to Slide 14. One area of focus is increasing the average order size which can be accomplished through improved sales training and add-on products. We are also piloting a new program whereby we will provide spray foam rig repair and parts service in the field to our customers. Remember, Service Partners’ customers are generally smaller contractors in the industry and they have about $100,000 of capital tied up in their spray foam rigs. When these rigs are down or need to be serviced, this is lost revenue for that customer and right now there is no easy way or quick solution to get their spray foam rigs back into production. We are the first movers in this arena. Assuming the pilot program is a success which we believe it will be, we will rollout this program nationally over the next 12 to 18 months. As 2017 draws to a close, we are pleased with our progress in managing our supply chain and leveraging our existing network of branches, while doing a great job with our targeted acquisitions. We continue to make operational improvements throughout our organization as our teams drive growth and profitability. I thank the entire TopBuild team for their focus on working safely to deliver value, quality and service to our customers. I’ll now turn the call back over to Jerry for some summary comments.
Jerry Volas: Thanks, Robert. As you’ve heard today and seen in our results, we’re leveraging our footprint, operating efficiently and continuing to deliver solid returns to our shareholders. M&A will remain an important component of our growth and you can expect us to announce additional transactions. Operator, we are now ready for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Mike Wood with Nomura Instinet. Please proceed with your question.
Mike Wood: Hi. Good morning. And great job on the margin performance this quarter. First question; just wanted to understand, I know fourth quarter is normally seasonally slower in terms of sales. In this case, it seems like pretty similar third quarter, fourth quarter based on your guidance from the sales standpoint. Is there any reason why your margins in fourth quarter are, therefore, dropping sequentially? I think at the midpoint, you’re guiding to 1% higher sales quarter-over-quarter, 8% lower adjusted EBITDA?
John Peterson: Yes, Mike, this is John. I think typically from a seasonality standpoint to your point, the sales do tend to drop. We’re actually projecting, based on the ranges you can see, that it’s not expected to happen because of the weather. In terms of the EBITDA, we do expect to have some incremental cost increases, especially on the material side, impact the numbers. Although, again based on the range we have given you, you can see that from a pull-through standpoint, we still expect a pretty robust pull-through in total.
Mike Wood: Great. And then, how should we think about this recent soft patch in multifamily starts? I know you often refer to 90-day lagged starts. Just curious what we should think about when that potentially flows through or if we should just look at single family?
Jerry Volas: Yes, Mike, this is Jerry here. I would say on that, that, yes, there has been a bit of a soft patch. But as you indicated and as we well know, the cycle time from multi is extremely long. And so that certainly is one of the factors that has impacted our top line revenue as we’ve realized it, because it pushes its way out considerably. So, it’s hard to tell what the future of that looks like. I do think that ultimately, it’s probably going to get back in gear a little bit stronger than it’s been this year. But certainly, that’s been a factor in terms of our top line and how it’s looked this year.
Mike Wood: Great. Just one final question I’ll sneak in. I’m not sure if I missed this. This hurricane estimate of lost sales in the quarter, was it the 6 million to 8 million that you provided at the Investor Day?
Jerry Volas: Sure. Yes, Mike. It was.
Mike Wood: Great. Thank you.
Operator: Our next question comes from the line of Matt McCall with Seaport Global Securities. Please proceed with your question.
Matt McCall: Thank you. Good morning, everybody.
Jerry Volas: Good morning.
Matt McCall: So maybe talk about price-cost a little bit. The incremental margin much better than we thought it was going to be in Q3. Did the price-cost gap widen there? And I know – I’m not sure if you just said it, but are you expecting some cost increases in Q4? What about the offsetting price? Just trying to understand the price-cost dynamic in Q3 that you just reported and what’s expected in Q4?
John Peterson: Yes, Matt, this is John. One thing to start with on 3Q I think, our pull-through although certainly proud of in terms of what we’ve done though from an M&A and an organic standpoint, was somewhat a function of the math too, because if you looked at the incremental revenue on a same-branch basis, because of the hurricane issues we talked about in the 6 million to 8 million, the denominator on that calculation was relatively light compared to what we would have expected. So we don’t expect that same type of phenomenon in the fourth quarter, certainly. But yes, we did get price. Robert mentioned a point on Service Partners you’ll see in the Q we picked up about 1.5 points on the TruTeam side, so all-in, about 1.2%, roughly $6 million plus of pricing. We are going to continue to push hard on the price side. But what I mentioned earlier is that we do expect to see some continued increases in terms of material cost flow through our P&L as this year winds down.
Jerry Volas: Yes, Matt. But one thing I would add to that is, and I’m sure you’ve noticed our results here over the last year, year and a half that we have a very strong bias towards profitable growth. And in addition to doing the work on the cost model that we’ve done around productivity with installers and with our sales people, as the environment begins to be more suitable for higher pricing, we are not going to waste that opportunity and we’re going to work hard with our customer base to make sure that we are reacting appropriately. And as the manufacturers have, as you well know have had multiple cost increase announcements here in 2017 and another one teed up for early 2018 and the business and the housing starts remain relatively good and robust, that’s a good environment for pricing actions as it relates to our customers. So we’re highly sensitized to the fact that they’ve got their own cost issues. So we want to get in front of that for their benefit as much as we can and make sure that they understand that that’s the environment, and we give them plenty of time to react to that. So we’re spending a lot of time and effort making sure that we handle that appropriately. And again, that is part of the story that we have here in terms of increasing margins. And we think that environment is going to continue to be that way as time goes on.
Matt McCall: That’s helpful. So as I think about the labor shortage, is it a good thing given that you have the labor available, does this help your pricing efforts? I’m trying to look now beyond Q4 and think, all right, which trend persist? Is it the one we just saw in Q3 or does the Q4 kind of price-cost pressure persist as we move out into next year, given that we’ve already seen a pricing action announced for early next year?
Jerry Volas: Matt, I don’t see labor as a constraint easing up. Everybody is going to be dealing with that and we will too. We do everything we can relative to enhancing the productivity of what we do have as well as finding new labor. So I think it’s going to continue to be an issue. We believe that we’re better than anybody in terms of attracting and retaining labor. So if your question is, is that a positive for us as time goes on and labor continues to be an issue? We think it is, because we’re going to have our, call it our unfair share of the labor available. And then we’re going to choose – and then we’re going to work with those customers that can support our initiatives relative to our margin requirement as well as we can. So I guess the answer – if I got the question right is yes, we do think that’s probably a net positive for TopBuild, although it’s going to be a challenge for everybody in the space that we’re in.
Matt McCall: Yes, that was part of the question. The other part was, how do we think about price-cost? I’m just trying to understand what normal is. Is Q3 more normal? Is Q4 more normal? I know we’re going to have some cost increases, but is that merely a timing issue where it takes a while for the price to flow through, or is this price-cost pressure anticipated to continue out into next year?
Jerry Volas: I would think that what we’re going to see is additional cost increases coming from the manufacturers. I don’t think there’s any doubt that they believe as the utilization of the capacity that’s available continues to tighten. And even though there are some moves being made out there relative to additional capacity, et cetera. But I do believe the time is right, right now for there to be continued cost increases. And we over time have shown that we are able to – as time moves on to pass those increases onto our customers. And we’re very confident that that’s going to continue to be the case. So our margin performance should continue to be good. It should continue to improve as we work on the cost model and as we are successful in passing on whatever the fiberglass guys end up doing. And again, fiberglass is one piece of the puzzle. So as you well know, there’s other types of insulation out there that are becoming important, such as spray foam. But having said that, what – the moves that the fiberglass manufacturers are making on costs are important to us and we have our head up on that and are confident that we’re not going to see a negative relative to price-cost as time goes on. If anything, it will be the same or better.
Matt McCall: Okay, perfect. Thanks.
Operator: Our next question comes from the line of Scott Rednor with Zelman & Associates. Please proceed with your question.
Scott Rednor: Hi. Good morning, everyone.
Jerry Volas: Good morning, Scott.
Scott Rednor: John, I was hoping you could maybe talk about the sales progression to the quarter because obviously, I think the 6 million to 8 million was disproportionate to September? And then I think there’s probably some calendar noise. So if you could maybe frame relative to the 3% same-store sales growth the progression through the quarter please?
John Peterson: Well, to your point, I think the first slowdown occurred in late August with Houston. We got some of that recovery, although very slow. So a lot of that just fell through for the quarter. And in September with the Florida weather, certainly that was the biggest impact from our standpoint. So normal progression – if your question is normal progression through July and the early part of August, but very lumpy in two key markets for us, certainly Southern Texas and Florida for the remainder. Now we’ve seen both of those markets slowly come back. I’d say Houston is up and running in pretty good shape today. Florida is still – parts of it’s still a little bit slow. Although, for the most part up and running to historical level.
Scott Rednor: Maybe if I ask this differently. Your 4Q guidance, assuming similar acquired sales, implies something like 5% to 8% in terms of same-store versus the 3 that you did. Were you running at that level in July and August prior to the storms?
John Peterson: I’d have to go back and look specifically at July. I think we were probably close to that level though. And yes, if you took the $8 million – $6 million to $8 million and put it on top, I think we were 4% plus on a same-branch basis. So yes, probably close to that in July, Scott. But certainly, as we hit the fourth quarter, to your point, you did the math to back out the M&A bucket, at least projected from your end, and so yes, we should be – our numbers are more in that 4% to 7% same branch for the fourth quarter, depending on the low to the high end of the range.
Scott Rednor: And then, I was curious the 18% year-to-date growth in spray foam that Robert highlighted, one, is that organic? And then maybe could you talk about that relative to what would be the comparable fiberglass growth?
Robert Buck: Hi, Scott, it’s Robert. Yes, I’d say the majority of that’s organic. But we do see some builders that are making the choice to switch over from fiberglass to spray foam. And as they see the benefits and as codes change, take for example, California with the unvented attic and some of the code changes out there, we’ve seen some builders switch. I think the majority of that’s organic, but definitely some fiberglass transition with some key builders. I would say, you probably look – I’d say industry-wise relative to the fiberglass, a little different for bath versus loose fill, again, given code changes. But I’ll just speak kind of industry-wise, baths are probably up in the mid-single digits and loose fill up a couple more points than that given what’s happening with some of the code changes and more loose fill being used in some areas.
Scott Rednor: Great. Thank you very much.
Jerry Volas: You’re welcome.
Operator: Our next question comes from the line of Ken Zener with KeyBanc. Please proceed with your question.
Ken Zener: Good morning, all.
Jerry Volas: Good morning, Ken.
Ken Zener: So it appears you’re just going to be very cautious around the price incrementals for your EBIT. So we’ll just have to see how that plays out. I wonder, just taking a little bigger picture, would you say it’s accurate that foam is more intense in more expensive houses? And where I’m going with this is with that mortgage interest deduction, could you just give us a little commentary on how – perhaps for the foam business, which I think is a higher-end product, would potentially be impacted by the mortgage interest deduction and just opine, would you?
Robert Buck: Yes, this is Robert. I’ll take the first part on the foam. So absolutely, when the foam started, it was more of a custom-builder type of application, larger homes, more custom homes, but we see the transition happening. And again, always go back to talking about building codes. But in certain states where codes have changed, we see more regional builders and even some smaller homes that are going to foam, so it’s just – it’s a great solution, not just from an insulation perspective but from an air sealing perspective as well. So I think that transition is happening not just custom but to other builders as well. So I just continue to see that be a trend and I’d say we continue to get interest from builders of all sizes relative to foam.
Jerry Volas: Ken, on the mortgage deduction thing, I don’t – I really don’t think that’s going to have much of an impact. To Robert’s point, spray foam is still a more expensive option, but it performs very well. So a consumer that understands that and wants that solution is going to pay for it. And the other thing is I think the price difference is beginning to narrow a bit as time goes on. So there’s a bunch of dynamics in there. I don’t think a mortgage deduction change of one sort or another is really going to change the dynamic of whatever trajectory there’s going to be with spray foam.
Ken Zener: Thank you.
Jerry Volas: You’re welcome.
Operator: [Operator Instructions]. Our next question comes from the line of Keith Hughes with SunTrust. Please proceed with your question.
Keith Hughes: Hello?
Jerry Volas: Good morning, Keith.
Keith Hughes: I’m sorry, I thought I got cut off. As you look towards next year, specifically in your commercial businesses, do you have any sort of look – I know they get a little bit longer lead times there in residential of what at least the start of the year will look like in terms of activity.
Robert Buck: Yes, Keith, this is Robert. We have a pretty good view of work all the way through '18, and I would say that our bidding activity as well as what we already have secured is very, very healthy for 2018. I think I mentioned, we’re already bidding jobs that start in '19 and even a few that are out in '20, some big sports arenas, those types of things. So commercial looks really, really healthy for 2018, and we’re even seeing some jobs that were going to happen here in '17 that are starting up early '18 as well. So we feel really, really good about the pipeline on the commercial side.
Keith Hughes: Okay. And you had talked around your acquisitions that Service Partners would be a – or the distribution business would be a potential area for acquisitions. Any sort of update there on what kind of deal activity or potential deal activity you’re seeing in that business?
Jerry Volas: It’s on our radar, for sure. We can’t – we obviously can’t speak proactively here about what may or may not happen. But I can only tell you that, here in the last year I would say, we’ve gotten focused on making sure that we’re filling the pipeline not just on the installation side but the distribution side. We like that business a lot. It performs really well, as you can see. And so we have our head up on that. And I can’t give you any forecast here because when these things get to the finish line, there’s always a lot of uncertainty there. But don’t be at all surprised that some of the things that we close here as time goes on would be in the distribution space.
Keith Hughes: Okay. And just final question again on Service Partners on the margin gain in the quarter. What were the biggest drivers there? I know it doesn’t have the biggest fixed cost overhead, but what drove those margins up?
John Peterson: Yes, I’d say the biggest drivers and consistent with TruTeam, also by the way, was selling price increase of 1%. I think that was the first time, Keith, in about five or six quarters we’ve had a comparable favorable selling price improvement. So that certainly helped to drive the performance. They continue to do a fantastic job of managing their costs also. So Service Partners is doing a fantastic job at that. And we do have material cost increases in that. But again, based on the price improvement along with the leverage we have had that got the margin expansion, we saw roughly 140 basis points in the quarter.
Keith Hughes: Okay. And that price improvement, that would – would that be in excess of what your costs went up or is that 1% just across the --?
John Peterson: Yes, we don’t provide specifics, Keith, on the material, for example, other than to tell you the costs did go up. But certainly, based on the performance we’ve had here, we were able to do more on the top line on the pricing side than the impact obviously of the cost increases we got. So favorable relationship in third quarter, for sure.
Keith Hughes: All right. Thank you.
John Peterson: Thank you.
Operator: And we’re showing no further questions at this time.
Jerry Volas: Thanks everybody for listening today and supporting TopBuild. We look forward to reporting our fourth quarter results in late February.
Operator: Ladies and gentlemen, this does conclude the conference call for today. We thank you for your participation and ask that you kindly disconnect your lines. Have a good day, everyone.